Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Walgreens Boots Alliance, Inc. Third Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. . Please note that today’s conference is being recorded. .
Gerald Gradwell: Good morning, ladies and gentlemen, and welcome to our earnings call for the third quarter of fiscal year 2021. On the call with me today are Roz Brewer, the Chief Executive Officer of Walgreens Boots Alliance; James Kehoe, our Global Chief Financial Officer; and John Standley, President of Walgreens is also here for any relevant questions. Before I hand you over to Roz to make some opening comments, I will, as usual, take you through the legal Safe Harbor and cautionary declarations. Certain statements and projections of future results made in this presentation constitute forward-looking statements that are based on our current market, competitive and regulatory expectations, and are subject to risks and uncertainties that could cause actual results to vary materially. We undertake no obligation to update publicly any forward-looking statement after this presentation, whether as a result of new information, future events, changes in assumptions or otherwise. Please see our latest Form 10-K and 10-Q for a discussion of risk factors as they relate to forward-looking statements and note in particular that these forward-looking statements may be affected by risks relating to the spread and impact of the COVID pandemic. In today's presentation, we will use certain non-GAAP financial measures. We refer you to the appendix in the presentation materials available on our Investor Relations website for reconciliations to the most directly comparable GAAP financial measures and related information. You will find a link to the webcast on our Investor Relations website at investor.walgreensbootsalliance.com. After this call, the presentation and webcast will be archived on the website for 12 months. I will now hand you over to Roz.
Rosalind Brewer: Thank you, Gerald, and good morning, everyone. Welcome to our earnings call. Let me start by saying that we're pleased with our third quarter financial performance, which we announced earlier this morning. Our total adjusted earnings per share of $1.51 were above our expectations, driven by the strong execution of our vaccine administration, increased mobility as restrictions were lifted in various geographies, and recent increases in digitally-driven sales in both the Walgreens and Boots businesses. Many categories performed well, including beauty and photo and our investments in marketing technology are driving further revenues by more precisely targeting our customers. 
James Kehoe: Thank you, Roz and good morning. In summary, we had an excellent quarter. Total adjusted EPS was $1.51, well ahead of expectations and up 81.4% versus prior year on a constant currency basis. Adjusted EPS was $1.38,  (ph) above prior year impacted by two key COVID related factors. Firstly, we were lucky in a weak year ago quarter, which was depressed by the severe restrictions associated with the COVID-19 pandemic. Secondly, we executed strongly in the current quarter and accelerated the pace of COVID vaccinations. Thanks also to the significant investments we have made to provide vaccinations across approximately 8,500 locations.  Cash generation was also strong with year-to-date free cash flow of $3.3 billion, 35.8% higher than prior year. The strong third quarter performance allows us to increase our full year adjusted EPS guidance from mid to high single-digit growth to around 10% growth.  Let's now look in more detail at the results. Third quarter sales advanced 10.4% on a constant currency basis, reflecting strong double-digit growth in International and 5% growth in the U.S. The result included a 4.6 percentage point benefit from the formation of the German joint venture last November. Adjusted operating income increased 82.4% on a constant currency basis driven by strong gross profit performance in the U.S. and a rebound in International sales and profitability due to less severe COVID-19 restrictions.  Total adjusted EPS was $1.51 in the quarter, a constant currency increase of 81.4%. On a continuing basis, adjusted EPS was $1.38, a constant currency increase of 93.6% driven entirely by strong growth in adjusted operating income in both operating segments. The higher tax rate in the quarter was mostly due to a catch-up adjustment in the prior year period as initial COVID-19 impacts favorably impacted that quarter's tax rate.  Finally, on a continuing basis, GAAP EPS increased by $3.32 to $1.27, reflecting prior year impairment charges of $2 billion and investment gains in the current quarter related to Option Care Health. 
Rosalind Brewer: Thank you, James. So as you heard we have delivered a good financial quarter, and have the prospect of a very solid financial performance for the year as a whole. Therefore, we are raising our guidance for the full year accordingly, as we continue to focus on ensuring the success of our business at today, while at the same time, investing in our future, I look forward to sharing in the fall more of my learnings and our path forward. Currently, I'm examining and challenging all parts of our enterprise strategy, and there will be some key principles guiding our work ahead and leveraging our right to win, including applying a disciplined approach to capital allocation and performance metrics; driving innovation to be built into our core and into our culture; performing as a best-in-class operator at all time; allocating our focus in the right amount by balancing our immediate needs with our mid and long-term growth plans over the next two to three years; maximizing the value of our existing assets, particularly our pharmacy as a centerpiece of what we do moving forward; and leaning into key tailwinds such as the localization and consumerization of healthcare.  Let me close by once again thanking our team members for the resilience, empathy, and care that they have shown for both our customers and for all team members as they administered more than 25 million vaccinations and many other accomplishments around the world.  Our success over the last year shows the power of our unified focus coupled with exceptional capabilities and highly trusted brands that represent the communities we serve. This focus and purpose will be the root of our success for years to come.  Now, I'd like to open the line to questions. Operator? 
Operator: . Your first question comes from the line of A.J. Rice with Credit Suisse.
A.J. Rice: Roz, if you don't mind, I might just -- I know the details on your results of your strategic review are still months away. But I would ask about two parts to your comments. One, it sounds like there's a lot of U.S. focused effort around that strategic review. I wondered if your review of strategy also includes the UK and the international operations, any comments or early comment about your thoughts there? And then the second aspect is I think, well, Walgreens has over the last year done a lot of interesting things, almost a collaborator of choice type of approach with a lot of providers and vendors. Do you see the opportunity to take a few of those relationships, obviously things like the VillageMD relationship and really exploit that? Is that one of the areas of greatest -- not necessarily that specific one, but that type of thing, the greatest opportunity? Or is most of the opportunity you're seeing retooling internal aspects of Walgreens going forward? 
Rosalind Brewer: A.J., thank you for that question. Let me start with your first question about the look that we are  across the entire business. So the evaluations we're doing right now, they are global. They may feel U.S. based because of the size of that business in the total WBA construct, but this is a global look at the business.  The one thing I would say about our business in the UK and other geographies is, we're seeing a slower recovery in some of those areas. So we are looking at a full enterprise look as we evaluate what's next in the company.  The second part of your question is around the collaborations I believe you said and partnerships that we had, and what portion of that will be in balance with just looking at our base business. And I will tell you that it's a bit of both. One thing that I will tell you is that, as I analyze the company and see where they are, this team has done some tremendous work in building partnerships. Those partnerships will be key to us going forward. There's an opportunity to innovate with our partners and really grow some of these collaborations, see that. And then as I mentioned, it's also about making sure that our base business is very strong. So it is both of those A.J., and thank you for that question. 
Operator: Your next question comes from the line of Steven Valiquette with Barclays.
Steven Valiquette: So that was good to hear some of the updates in your prepared remarks around the tech enabled healthcare startup operation that's embedded within Walgreens. I'm curious, if this digital asset is something that Walgreens could still separate and potentially monetize sometime in the next 18 months or so? Or it is let’s just say embedded within Walgreens for the foreseeable future and just drive the overall enterprise results? Thanks.
Rosalind Brewer: Steven,  question. And in terms of how we're looking at tech enabled healthcare, when we look at the long-term enterprise vision of a company, that is one of the things that we are looking at is that how do we address what's so important for the customer and what we embed within the company, and what we partner with, and what could be standalone? So that will be part of the work that we do. So we will share more about that in the fall. 
Operator: Your next question comes from the line of Lisa Gill with JPMorgan. 
Lisa Gill: Just on VillageMD, I just had a couple of questions. One, I wanted to understand the prescription lift you’re seeing in co-location? And then, James you made a comment about simplifying the role of the pharmacist. You or Roz, do you have any comments around changing reimbursement? So if you're freeing up the time of the pharmacist, are we actually seeing where you're getting paid for consultation versus just the fulfillment of the script? And do you have any relationship, for example, with VillageMD or anyone else where you're getting paid for those consultation services? 
Rosalind Brewer : Lisa, let me have both James and John respond to that question for you.
John Standley: Hi, Lisa. I'll jump in. This is John. I'll jump in first. So, yes, VillageMD is a great partnership for us in the pharmacy, because we can do a collaborative care model for chronic patients with VillageMD and it kind of breaks down a bunch of the barriers that you might have in that kind of relationship. So I think there's a lot of learnings for us in the VMD experience. And there is definitely a script uplift in the store from the relationship that's going develop over time as we have opportunities to continue to advance the model, as we roll out additional VMDs across the chain here. So I think that’s that piece of the question.  As it relates to the various programs that we today to drive adherence and provide other services with pharmacists, a lot of our focus has been around P-for-P programs and Medicare Part D and other opportunities like that to work with a lot of our partners, and that's where a lot of our effort has gone. But I think it's really the future that we're talking about here. And so, the investments that we're making in iA to free up our pharmacists really create I think future avenues for growth of revenues we kind of look down the line. That's how we're thinking about it. And we think there's a lot of opportunity there, as we move forward.
James Kehoe: If I can just add one thing, Lisa. Because you’re correct, the micro fulfillment centers will be rolled out over an approximate 24 month, 36 month period. The first two were up and running and we've already released funding for the next nine and that will be completed within the course of '22. And I think it is -- the simple part of this is, how do you free up time so that the pharmacist operate at the top of their profession. And the key question, and I guess that's why you're asking the question is how do you get paid for that? So the simplistic one is pay-for-performance. The stuff that's in development internally, I think we’ll give more visibility on it in the fall. One is testing and diagnostics. We did mention that. It's clear now in the U.S. that pharmacists have played a huge role in the pandemic. And the question is how do we expand the testing and diagnostics role so that we're providing value added services? And then the key to all this is the payers hopefully are now recognizing the critical role that is being played during the pandemic and the fact that less people end up in hospitals reduces overall medical bills in the U.S. system, which means their medical loss ratios are going down.  So this has to become at some stage of win-win for everybody where we are freeing up resources, they're spending time improving health outcomes and we are working closely with the payers to sharing that improved health outcome environment. So that's the simple version. But it's a two to three year journey here in getting these centers up. 
Lisa Gill: Just going back to my initial question around the lift in prescription, when you have a co-location with VillageMD, is there anything that you can give us so we can kind of think about as you roll out incremental relationships and incremental co-locations there? 
John Standley: We're getting towards 46 of these things up and running, so it's a little early for us to guide you on that Lisa. We definitely see a benefit there. But I think it'll continue to develop over time and to give us a little run here.
Operator: Your next question comes from the line of George Hill with Deutsche Bank. 
George Hill: I guess Jim, one, and one and a half for you. Could you be a little bit more explicit about the contribution from the COVID vaccines to the U.S. business during the quarter? And then you guys kind of noted in the press release that the improved pharmacy margin was due entirely to product mix from COVID vaccine. Could you talk about what pharmacy margin looks like ex the vaccine? 
James Kehoe: Yes. Just want to take those. As we move forward, it's getting increasingly tough to track what’s due to COVID and what's not due to COVID. But obviously, with a result that's up 95% -- EPS up 95% in the quarter. I think you can assume the impact of COVID was in the region of 80% to 85%. So we saw solid growth on the core in conjunction with a nice recovery from COVID.  When I used the word recovery, there's two aspects. One is we had a week last year, and we're recovering from that. And then we had 17 million vaccinations in the quarter. And the vaccination is the key driver of the margin in the quarter. You saw the spectacular gross margin growth in the U.S., up 14%. And it's not a one-shot wonder here. This is actually very much sales driven. We had a great front of store performance. And then secondly, the scripts were at high single-digit. So we were on all the cylinders on that. I would point out that retail margins were up 100 basis points. And again, it's coming from mix. It's coming from more photo. It was up 50%. Beauty was up 15%. And then turning to the vaccination question. We actually had a pretty decent quarter on margins. The base business was basically flattish versus prior year, and vaccinations drove all of the upside on margins. We expect something similar in Q4, but a lesser extent. We've been quite transparent on the amount of vaccinations during the year of 28 million, 7 million in the quarter.  But before you get too excited on the margin build is, we estimate just on a full year basis that we invested in SG&A just for the rollout of vaccinations, $0.5 billion of incremental SG&A. So I think you have to look at the vaccination on a net basis because they -- and you are seeing that we point to 6.5% increase in overheads -- 6.5% in the quarter. We actually estimate that will be higher in the fourth quarter. So we have a fair amount of pressure on overheads. Mostly it's all spending against the vaccination efforts. I hope that covers your question.
Operator: Your next question comes from the line of Brian Tanquilut with Jefferies.
Brian Tanquilut: James, just to follow up on your last few comments there. As I think about the guidance that you gave, I mean, it implies something for Q4 under a $1, comp is about $0.91 from last year when you still had some pretty big COVID headwinds there. So I know you called out vaccination, fewer vaccinations in Q4 on a sequential basis, but how should we be thinking about this if I'm thinking about it on a year-over-year basis? And is this just conservatism? Or is there anything else that we should be considering as we look at your guidance?
James Kehoe: Yes, it's a good question. We spent a fair amount of time on this. So the full year of 10%, I would back into that number is 10% or 11% in the Q4 leads to 11% to 13% kind of range on the Q4 EPS growth. So there's 7 million vaccinations in there. The one comment I would add too is we've called it out in the prepared remarks, we expect SG&A to be up significantly in the fourth quarter, we will have an EPS impact of 7 to 9 percentage points. So in the 11% to 12% kind of range of growth in EPS. It's absorbing 7 to 9 on projects. And then there are a couple of onetime items we're facing. We -- there's a shift on impairment between 2 quarters plus bonus payouts. That's probably another 9 points of growth. So as we dissected this as we work through it, we were looking at a core growth of somewhere in the region of 27 to 30. We're doing heavy in both for future innovation, but also for vaccination and absorbing this 7% to 9%. So fairly comfortable that the core was performing.  If you go back to the original part of -- the original guidance at the beginning of the year, and I do feel it's quite important. Bear in mind, we gave guidance at the beginning of the year of low single-digit, and we're now at 10%. So I think we executed on all cylinders here. When we gave the guidance, we said the first half would decline 17% to 23%, and the actual decline was down 12%, so a good first half. In the second half, and I think people thought it was a crazy aggressive goal, at least internally, we said 30% to 40% growth. If you take our full year of 10%, that comes out at 47% growth in the second half. So we're actually quite happy with the projection.  I think if we go back and compare to what we said in March, there's been a shift of about 3 million to 4 million vaccines from Q4 into Q3. So I would say, in general, Q3 came in stronger than we thought in March; and Q4, it's essentially lighter just because we're shifting  into Q3. And this was very much in line with the more recent request under Biden administration to get people vaccinated as quickly as possible. We put a lot more expense in the system. We've hired more people than we originally anticipated, and we ramped up opening hours in 4,000 stores. So this is why the Q3 is proportionately stronger than Q4, but we're quite happy with the Q4 profile in terms of quality of earnings.
Operator: Next question comes from the line of Elizabeth Anderson with Evercore.
Elizabeth Anderson: You gave a lot of really helpful commentary about the pacing of the COVID vaccine. I was just wondering if you could comment about your assumptions for the core script growth in the fourth quarter and sort of any early comments you can talk to from June in terms of how  the reopening script growth going?
James Kehoe: John or I can handle it, but maybe you can.
John Standley: Yes, I can at least talk about the trends a little bit. I think what we saw really kind of started in the third quarter and has continued into June is that some of the underlying headwinds that we were facing in the business have abated a little bit here. So we saw new to therapy improve, which has continued in June. And we had some heavy early headwinds on seasonal and anti-infective prescriptions. But again, as we came through the quarter, those abated have now turned positive in June as well. So we've seen a decent amount of business and a decent amount of momentum in the underlying prescription business as we head into the fourth quarter. And so I think that's really positive. And some of that is also kind of happening in the front end as well.
James Kehoe: Yes. So bear in mind that what we said in Q3 is the -- of the 9.8, 600 basis points are coming from vaccines but that's on 17 million vaccines. So if you fast forward to Q4, you're going to have less than 600 basis points coming from vaccines. So the rate won't be high single-digit. It's probably going to be mid kind of single-digit growth in scripts because it's quite influenced now by vaccinations in the short-term. But as John said, we had a very strong start to -- for the quarter.
Operator: Your next question comes from the line of Ricky Goldwasser from Morgan Stanley.
Ricky Goldwasser: As we think about fiscal year 2022, and I know this early and you're not guiding, but should we look at the new fiscal year '21, look for the implied 4.71, should we use that as a starting point to 2022? And if so, and understanding there's still COVID uncertainties, but at least all sort of the data points that you have to date, sort of should we think about kind of like it's fair to assume similar EPS growth in 2022 if you're guiding to second half of the year? Or are there any key tailwinds and headwinds that we should factor in?
James Kehoe: Ricky, I'm really sorry, you're not coming through very clearly. Can I ask you maybe just to repeat that?
Ricky Goldwasser: Yes. So when we think about the implied fiscal year '21 EPS of I think it's 4.71, should we use this as a starting point for 2022? And if that's the number, how should we think about -- with all the data points that you have now, is it fair for us to think about similar growth in 2022 to -- '21 to '22, similar growth as what you're seeing in the second half of this year? Just trying to understand sort of your...
James Kehoe: I think, first of all, we don't give guidance. So anything I'm saying is just a stream of comments, I guess. So you're right,  and gets you to 4.71. That's the starting base. I think the key thing money market participants will struggle with as they look into next year is what will be the continuation of vaccinations into next year because you've got 28 million vaccinations in your base here. And will there be a booster of vaccinations? When will pediatrics come on? There's as many questions as there are answers. Obviously, everybody has a strong desire in the U.S. to get back to normal.  The other thing is, I think, slight lapping that is we still have some adverse COVID impacts in the base here, and some of those will improve over time. What Roz did say earlier on, we are seeing somewhat of a more gradual recovery than we would have anticipated out of the UK, so we're watching that quite closely. But I think that's the big question for next year. The other one is what's the pace of investments as we modernize and getting back to Roz's comments is we want this company to be more innovative and to drive long-term shareholder value and what's the pace of investments over time. But that's exactly what the team is working through over the coming months, and there will be a comprehensive -- layout the comprehensive strategy later in the fall. So -- but I think it's the COVID number we have to wrestle with going forward, mostly the vaccination number. There's nothing else unusual in the base. I think if you look to the two halves of next year, you're going to have cough, cold, flu, which was a big headwind at the beginning. But Q3, Q4 of next year will be pretty tough because you're lapping 17 million vaccinations in Q3. So I think it's -- I wouldn't get lost in any weeds here. I would just think about what are the big items on vaccination and COVID.
Operator: Your next question comes from the line of Eric Coldwell.
Eric Coldwell: Appreciate it. So you've got a really strong cash flow and balance sheet profile building with the Alliance proceeds as well as the working capital improvements and the strength from COVID as well. I'm just curious if you could give us a little more color on your thought process around capital deployment priorities over the next 12 months, including share repurchase, is that something that you might get back involved with as we look forward? And then if I might ask a follow-up, just there's been a lot of ranker recently about staffing levels across most industries in the country, wage inflation, et cetera. I was hoping you could give us an update on your thoughts around wage inflation, staffing, ability to attract and retain staff? That would be great.
Rosalind Brewer: Thank you, Eric. I'll take the first part of that question, and then I'll ask John to talk about wages. So first of all, with capital, you probably are aware that we spend roughly about $1.4 billion a year on capital expenditures, and we don't see that changing too much in the future. What I will say is that how and where we deploy that and being very disciplined about that. I will tell you that there is energy on my part and this leadership team's part to really accelerate a lot of the work that's already underway in this company. And I will tell you that there's innovation that we will put a lot of focus on. We'll continue to invest. So you'll see capital going in those areas. In the past, you've seen us -- we'll build out stores, but in addition, the work that we're doing in investing in digital. And so that will continue. Just to give you a little bit of insight of what we will do in terms of how we will deploy the capital. But we really say see us staying in line around that $1.4 billion to $1.5 billion range on capital expenditures. John, do you want to talk about wages?
John Standley: Sure. I think -- and just more generally, I think about -- I think your question is about the employment market as well. And so yes, it's definitely heating up out there. But it's really -- I think what we've seen has probably been more kind of in regional instances, and we've been able to work through those with the various levers that we have available to us to operate the business. One example is we were able to meet all of our needs to really get through a very busy third quarter with our 17 million vaccinations and really didn't have a problem. So we continue to watch the situation and kind of deal with it on an area-by-area basis as issues arise.
Rosalind Brewer: Ricky, can I add one more part to your question on capital? I also want to mention around the work that we've already invested in. The Rx Renewal is part of our investments that we've had, the work around our store level investments and our partnerships there also to -- I don't want to overlook the work that we're doing around mass personalization, as I mentioned, digital, more specifically in that area. And then the work that we've been speaking about in terms of the micro fulfillment hub and the spoke rollout that we have planned. So you'll see us continue that kind of work around where we apply capital in the future.
Operator: Your next question comes from the line of Charles Rhyee with Cowen.
Charles Rhyee: Maybe a question for James or Roz here. I think starting in July, the existing child tax credit is being converted to direct payments and I think it's going to hit something like 39 million households, which will represent a pretty sizable increase in disposal income for those households. Can you talk about how much of your customer base indexes to households that will receive payments? And have you guys thought through what potential impact positively that could be for your front end?
Rosalind Brewer: Charles, actually, I'm going to have John respond to that. He's close to that one.
John Standley: Yes, thanks for the question. Yes. So this is a monthly credit, I guess, it starts here. And we have looked at it a bit. It doesn't look probably material as maybe some of the stimulus money that came out earlier in pandemic in terms of impact on the business. So this one doesn't feel like it's going to be hugely material to us. But obviously, we'll get into it here a little bit and see how it plays.
Charles Rhyee: Is that because from a prescription side, a lot of these houses will be -- have insurance coverage maybe through Medicaid. So a lot of the purchasing is just not as impacted? Or is it that the front-end items that you would expect, this disposable income or the increase would not necessarily go to items in the front end?
John Standley: No, I think it was more just the relative size of it as it kind of filtered into. If we kind of look at how we performed on other type of incentives, stimulus money that was just, I think, in times of relative size, that's all.
Operator: Your next question comes from the line of Glen Santangelo with Guggenheim.
Glen Santangelo: I just wanted to follow up on some of your prepared comments you made with respect to the gross profit margins. If I heard you correctly, I think you seem to suggest that ex COVID vaccines, your gross profit margins might have been flat year-over-year. So one, I'm not sure if that's correct if you could confirm that? And then secondly, last quarter on the call, you discussed maybe some favorable generic pricing trends that may be aided the margin. And so I'm just kind of curious, could you maybe just unpack that gross profit margin ex COVID vaccines a little bit more to help us think about the current trends and how we should think about that going forward?
James Kehoe: Yes. It's broadly correct what you said. So if you take out the benefit of favorable mix from vaccinations, for this quarter, the margin was broadly flat. So we had a decent month in terms of generic -- a decent quarter in terms of generic procurement. But the model is a scaled model. The more volume you sell and the more generic procurement you get, the better the margins in the quarter. So it's significantly helped by the fact that the script growth was 9.8%. So it's not a sustainable position in general.  And as we've said in many occasions, we start the year with a significant amount of reimbursement pressure only, which is offset through generic procurement and the rest has to come from volume. So the margin is highly variable with the volume delivered in the specific quarter. And then the watch-out is, I wouldn't take one quarter and extrapolate in the pharmacy business. The timing of accruals and payments is quite volatile and can shift significantly. So my advice to you is always look at the year-to-date as the best proxy for the forward projections. Don't pick a quarter and anchor on that because you're likely to get it wrong because of the volume leverage plus a point in time is not a good way to look at the pharmacy business. So we do expect fairly continued pressure from reimbursement over a fairly long-term horizon. That's not going to change. The business model is not changing because of one quarter.  But that being said, we had a fabulous quarter, it's driven by the role we’ve played in the community. We did 17 million vaccinations and we invested significant dollars to get that return on gross profit. We're quite happy with the base margins, especially front of store as well as very positive for. And that's a number of quarters now that we've seen favorable margins. So we had a very good quarter all along.
Operator: Your next question comes from the line of Eric Percher with Nephron Research.
Eric Percher: You've spoken about  in the performance of suburban versus the 4 large urban markets. And I'm interested to hear if there's been a real difference, and this may be a gross margin question as well. But in overall margin performance that you're seeing? And also, what have the patterns been at this point, does the Las Vegas market look different maybe than New York or Chicago and the cities? Any perspective there?
James Kehoe: Yes. It's -- we had a fabulous time with -- in urban markets because as you know, we have a distinct skew both in the UK, actually and in the U.S. So one interesting statistic is that in the previous quarter, and it shows actually the power of the U.S. economy as well. Once people went back on the street and started spending again, transactions prior to -- in the third quarter for urban stores were down 37%. And in Q3, transactions were up 10%. So footfall in the U.S. is very consumer driven, people back -- people are traveling again and cities are filling up again. So we saw a major skew, every one of our four formats. So if you look at rural transactions were up, suburban was up less than urban was up, but the actual biggest transaction gain was in the urban area. And the same play true on sales where urban is still down year-on-year slightly, but we think we will see an ongoing recovery there.
John Standley: Yes, I think that's the big opportunity, I think. So we've -- it's been -- we've seen like 2 of our stores really sort of take-off, I think as things have opened up as James said in suburban and rural. But I think our urban stores present a real upside opportunity.
James Kehoe: Upside opportunity. Yes, particularly as you looked at March, April, May, it was that transactions in March were down 21% in urban. By the time they got into April, they were up 42%. So there's a market difference between March, April, May, and we see that continuation into June as well. So we're very happy with the recovery that we're seeing, particularly in the U.S. However, I would counterbalance that with the UK where there's been a longer lockdown than we anticipated, and they're still not fully out of lockdown and where some lack of clarity as to when people will be encouraged to go back to work.
Gerald Gradwell: Okay. Thank you very much, indeed. That's all we had time for on the call today. As ever, the IR team are here for any that we didn't get a chance to get to. I know we did have some additional questions. And in the event that we don't get to speak to you before the holiday weekend, I hope you will have a fantastic holiday weekend and we are around next week as well. Thank you very much indeed. We will speak to you again next quarter on the next earnings call.
Operator: Thank you for participating in today's conference call. You may now disconnect your lines at this time.